Operator: Good afternoon. Thank you for joining today's call. With me today are George Colony, Forrester's Chairman of the Board and CEO; Kelley Hippler, Forrester's Chief Sales Officer; and Mike Doyle, Forrester's Chief Financial Officer. George will open the call. Kelley Hippler will follow George to discuss sales, and Mike Doyle will then follow Kelley Hippler to discuss our financials. We will then open the call to Q&A. A replay of this call will be available until August 25, 2017 and can be accessed by dialing 1-888-843-7419 or, internationally at, 1-630-652-3042. Please reference the passcode 6823061# Before we begin, I'd like to remind you that this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the Company's current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The Company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. I will now hand the call over to George Colony.
George Colony: Thanks for joining our second quarter call for 2017. I will give a short brief on the quarter, I will then turn the call over to our new Chief Sales Officer, Kelley Hippler who will outline her go-forward vision and give an update on the customer engagement model. Mike Doyle, Forrester’s CFO will give a financial review of the quarter and then the three of us will then take questions. I’d like to update investors on the three initiatives I outlined in Q1; sales, the ongoing digitization of our products and three expanding our user business. And I want to move to sales first. Many of you know my Mike Morhardt and the good work he has done for Forrester and his clients over the last four years. Mike is a person of great integrity and I want to thank him and wish him the best on his next voyage. I made the change in sales leadership to increase the consistency of performance. As we have discussed in previous calls, 2016 sales bookings started strongly and then became less predictable through the second half of the year. As we reported, I have promoted Kelly Hippler to the Chief Sales Officer job. Kelly is a 19 year veteran of Forrester, She has had many assignments during her career at the company, including running our vendor sales organization, leading client services in publishing and directing sales operations. She was interim head of sales in the third quarter of 2012 and she was an early candidate for the top job in the search that yielded Mike. She has most recently been running the rollout of the customer engagement model and has been a member of the executive team since January 2017. I believe the Kelly has the skills, knowledge and ambition to complete the customer engagement model and bring consistent performance to the newly structured sales force. She is a clear, decisive and fast-moving leader with router careers has exceeded her goals and has been the catalyst for progress and change at the company. She has accomplished much in her years of Forrester, but I believe that her greatest victories lay ahead. I am going to turn for a few moments towards digital. As you know, we have fully digitized the deliverables for the customer experience index enabling clients to engage in real-time analysis of their scores and data. In the fourth quarter, we will be rolling out the digital versions of three other data products; consumer technographics, business technographics and forecast field. This upgrade will enable clients to access the data and comparisons they need without the intervention of a Forrester data specialist. It will increase the ongoing value for clients and also lower the cost of delivering these products for Forrester. And while I’m among the topic of data, I’m happy to report that in Q2, we hired a new head of our data business Mike Hayes who joins Forrester from HIS. We are launching digital assessments in the second half of the year. This is a tool that helps clients understand where they are on transformation voyages and what steps they must take next and warned us on the Q3 conference call. We continue to enhance the iPad and iPhone apps that enable clients to quickly access Forrester’s research and to receive snackable answers to the questions. The iOS apps will be will be joined by an Android version which we will be launching in August. We’ve added a new product that is available only to clients who access Forrester via mobile. It’s a one minute audio clips available outlining what breaking events mean to large companies. And finally, Forrester is launching a new blog platform later this month. I want to end my remarks with a quick update on the expansion of our user business. This is a key priority for the company as I discussed on the Q1 call. The company focuses on 12 vertical markets, and these are the market segments that are most impacted by the age of the customer. And I want to say a few words about how we are shopping our events and research to deliver high value in these vertical markets. Forrester’s events business had a great Q2. Year-over-year performance was strong, achieving 29% growth in bookings and 6% growth in revenues versus the same period in 2016. Much of this over performance is being achieved through a growth in the number of users attending our forums. We had strong expansion in our digital transformation franchise of events driving over 25% audience, and 60% sponsor growth year-over-year. Our customer experience franchise was led by our flagship show in New York City that drew over 1,250 attendees and 40 sponsors and exceeded plan by 5% overall. In addition, we achieved our target goals of delivering a 70% user audience at Forrester events in Q2 highlighted by the consumer marketing forum, CX in Sydney, Australia and CX New York City all exceeding 70%, and these numbers are up substantially from 2016. Turning now to research. In the quarter, we hit a number of topics that are critical for users in these challenging times. Researchers most read topics by users in Q2 were AI, Automation, Martech and emerging technologies like chat pods and block chain. A very important report for users in the quarter was the end of advertising as we know it. And this forecast at CMO’s will eliminate $2.9 billion from online display advertising spending in the next year. And the most read playbook by users in Q2 was the digital business transformation playbook. So to conclude, at midyear I feel good about how Forrester continues to double down on helping companies win in the age of the customer. If you’re watching the retail world it is obvious that the empowered customer is having a revolutionary impact on that industry now and other vertical markets that Forrester serves like automotive are close behind. The market is clearly pivoting to where Forrester is strongly positioned. Over the last two days we held our quarterly board meeting, and I can report that our three new board members David Boyce, Yvonne Wassenaar and Tony Friscia have hit the ground running, have hit the ground running. They are already having significant impact on our thinking and direction. There are excellent additions to the Forrester brain trust. So thank you for joining the call and I would like to turn it over to Kelly Hippler, Forrester’s Chief Sales Officer. Kelley?
Kelley Hippler: Thank you, George. I am excited and honored to be leading the sales and customer success organizations at Forrester. My goal is to build a world-class sales organization that delivers consistent results, which we will achieve by continually focusing on people, process and technology. On the people’s side, we will be increasing our coaching effort, especially with our newer hires. We will drive profits improvements in the short term by refining our customer on boarding process and we will continue to look for ways to leverage technology to improve the efficiency and job satisfaction of our team. Now turning to Q2 result, we continue to see solid results in our premier, core and European vendor businesses, along with double-digit growth in Asia-Pacific. As George mentioned, we continue to focus on our end user business. In Q2, we accelerated our migration into the customer engagement model, our new strategy for how we will sell to and engage with our clients as we take a page out of our customer success [ph] operating model. The customer engagement model has two selling motions, premier and core. As you may recall from prior discussions, core consists of our smaller client who buy a limited set of the Forrester portfolio and are largely sold to and serviced by our inside sales team based in Nashville, while maintaining a hub present in both Cambridge and San Francisco for local clients. Premier is comprised of our largest client who deploys the more complex solutions that Forrester has to offer and Premier user represents 25% of our annual booking. We stood up for additional North American user teams in the model last quarter and have added another in July bringing up to 75% of our premier North American user team. The North American standup will be completed in early October. Furthermore, we will be standing up our first European team in early September. While it is still early days, we are encouraged by the initial results we are seeing on the engagement front. When comparing the Q2 performance of the teams in the model over prior year, we have seen a 7% increase in both renewal retention and share of wallet for this population. In addition, we saw a modest increase in conversion rate For our core selling motion, we added 12 headcount in Q2 bringing our year-to-date total in Nashville to 23 quota carriers and 37 total employees. We are on pace with our headcount target for Nashville in 2017 and we are looking forward to opening our permanent office space in Q4. To support the transition into the two new selling motions, we had been accelerating our training efforts with the creation of a 90-day professional development plan for all roles. With that I would like to turn the call over to Mike Doyle to review our financial results from Q2.
Michael Doyle: Thanks very much, Kelly. I’ll now begin my review of Forrester’s financial performance for the second quarter of 2017, including a look at our financial results, the balance sheet at June 30, our second quarter metrics and the outlook for the third quarter and full year 2017. Please note that the income statement numbers I’m reporting are proforma and exclude the following items. Stock based compensation expense, amortization of intangibles, reorganization costs and net gains and losses from investments. Also up for 2017 we continue to utilize an effective tax rate of 40% for pro forma purposes. For the second quarter of 2017, Forrester exceeded revenue, pro forma margin and earnings-per-share guidance. Results reflect solid revenue growth, particularly in content marketing and strategy consulting where we saw double-digit year-over-year growth. We continue to make product progress on our product digitization initiative. As George mentioned, we introduced a number of new products, product enhancements and improvements to our digital client experience. Kelly took us through the progress we have made in our customer engagement model with strong performance improvement for teams in the model with the targets complete, the rollout of the remaining North American teams this year. Our plan is to continue our investments in product digitization and the customer engagement model during the second half of 2017. We continued aggressive share repurchase activity during the quarter, which, coupled with better-than-expected financial performance resulted in strong earnings per share performance for the second quarter and the first half of 2017. Now, let me turn to a more detailed review of our second quarter results. Forrester’s second quarter revenue increased by 2% to $89.7 million from $87.8 million in the second quarter of 2016, and increased 3% on a currency adjusted basis. Second quarter research services revenue decreased by 1% to $54.6 million from $55 million last year. On a constant currency basis, research revenue was flat and represented 61% of total revenue for the quarter. Second quarter advisory services and event revenue increased by 7% to $35.2 million from $32.8 million the second quarter of 2016 and by 8% with constant currency and represented 39% of total revenue for the quarter. Our international revenue mix was 22% for the period ending June 30, 2017 down compared to 23% last year, both as reported and on a constant currency basis. I now like to take you through the product activity behind our revenue, starting with Forrester Research. Forrester’s published research and decision tools enable clients to better anticipate and capitalize on disruptive forces affecting their businesses and organizations. We believe Forrester Research provides insights and frameworks to drive growth in a complex and dynamic market. In the second quarter of 2017, Forrester’s research library included 59 playbooks, the addition of 296 new documents and we hosted 46 webinars for our clients. As of June 30, 2017 the top three research roles were the CIO with 6337 members, analyst relations with 4290 members and application development and delivery with 4160 members. Onto our Forrester Connect offering which encompass our leadership boards and executive programs. The Forrester Connect offering are designed to help clients connect with peers and Forrester’s products and professionals and to coach executives to lead far reaching change within their organizations. As of June 30, 2017 Forrester Connect have a total of 1430 members down 2% compared to last year and up 1% compared to the first quarter of 2017. Our data products and services are designed to provide fact-based customer insights to our clients. Clients can leverage our data products and services or choose to have us conduct custom data analysis on their behalf. For the second quarter, revenue decreased by 7% due to some softness in our Technographics business. As George mentioned in his remarks, we brought on a new leader for our data business and plan to launch digital versions of three of our data products in the fourth quarter of this year. Forrester Consulting, which includes our advisory and consulting business saw total revenue for the second quarter increase 7% driven by content marketing and strategy consulting as I mentioned in my opening remarks. We are pleased to see another productive quarter from our consulting organization where we do some moderation in backlog levels in this area of our business, hampering [ph] our expectations for the second half of 2017. Forrester events had six events in the second quarter of 2017. In Asia-Pacific, we held our customer experience forum in Sydney and our digital transformation forum in Mumbai. In London, we held our digital transformation forum and in the U.S. we held our signature forum on customer experience and our formal consumer marketing in New York as well as a forum for digital transformation in Chicago. Events revenue increased by 6% year-over-year, despite the reduction of one event in the quarter. I’ll now highlight the expense and income portions of the income statement. Operating expenses for the second quarter was $77.1 million up 4% from $74.5 the prior year and up 5% with constant currency. Cost of services in fulfillment increased by 7% and increased by 8% with constant currency due to higher headcount and partially offset by lower T&E. Selling and marketing expenses increased by 4% and increased by 5% with constant currency driven by higher sales headcount and severance costs, partially offset by lower T&E. General and administrative costs decreased by 1% and were flat with constant currency due to lower professional services costs, partially offset by higher headcount and recruitment fees. Overall headcount increased by 3% compared to the second quarter of 2016 and remained essentially flat compared to the first quarter 2017. At the end of the second quarter, we had a total staff of 1381 including the research and consulting staff of 521 and total sales force of 538. Research and consulting headcount increased by 5% compared to the second quarter of 2016 and by 2% compared to the first quarter 2017. The total sales force increased by 2% compared to the second quarter 2016 and 1% compared to the first quarter 2017. Operating income was $12.6 million or 14% of revenue, compared with 13.3 million or 15.2% of revenue in the second quarter of 2016. This is a decrease of 5% year-over-year. Other income for the quarter was 93,000 compared to 473,000 in the second quarter 2016. Net income for the second quarter was $7.36 million and earnings per share was $0.42 on diluted weighted average shares outstanding of $18 million compared with net income of $8.3 million and earnings per share of $0.46 on $18.1 million diluted weighted average shares outstanding in the second quarter of last year. And now I’ll review Forrester’s second quarter metrics to provide more perspectives on the operating results for the quarter. Agreement value, this represents the total value of all contracts for research and advisory services in place without regard to the amount of revenue that is already been recognized. As of June 30, 2017, agreement value was $236.7 million, down 2% from the second quarter of 2016 and down 1% on a constant currency basis. As of June 30, 2017, our total for client companies was 2417, down 3% compared to last year and essentially flat compared to last quarter. Client count unlike our retention and enrichment metrics is a point in time metric at the end of each quarter. Forrester’s retention rate for client companies was 75% as of June 30, 2017, up one point compared to the first quarter and down one point compared to last year. Our enrichment rate was 94% for the period ending June 30, 2017, unchanged compared to the prior quarter and down two points compared to 2016. We calculate client and dollar retention rates and enrichment rates on a rolling 12 months basis due to the fluctuations which can occur between quarters with deals that close early or slip into the next quarter. Our rolling 12 month methodology captures the proper trend information. Now, I’d like to review the balance sheet. Our total cash and marketable securities at June 30, 2017 was $125.2 million, which is a decrease of $12.9 million from $138.1 million at year-end 2016. Cash from operations was $7.4 million for the quarter as compared to $9.9 million in the second quarter of last year. We received $2.1 million in cash from options exercised for the quarter as compared to $3 million in the second quarter of last year. We repurchased $15 million of stock during the second quarter, and we also paid a dividend of $3.4 million or $0.19 per share during the quarter. Accounts receivable at June 30, 2017 was $51 million compared to $42.7 million as of June 30, 2016. Our day sales outstanding at June 30, 2017 was 52 days compared to 44 days at June 30, 2016, an accounts receivable over 90 days with 10% at June 30, 2017 compared to 4% at June 30, 2016. Deferred revenue at June 30, 2017 with $145.4 million, an increase of 5% compared to June 30th of 2016. In closing, we had a very good quarter, exceeding guidance for revenue, operating margin and earnings per share. For the first half of 2017 we are running ahead of our financial expectations with revenue, margin and earnings per share performing above targeted levels while the organization is been busy with a number of initiatives. As George and Kelly discussed, we made a lot of progress on our initiatives in the first six months. The customer engagement model continues to deliver the performance improvement we expected in the rollout of the model the remaining teams continues at a good pace. We continue to digitize our products and our client experience with more to come in the second half of 2017. We feel good about our first half performance but still need to see meaningful improvement in our customer metrics and increase backlog in our consulting business to drive an acceleration in our revenue performance. We expect the expansion of our customer engagement model along with the continued product investment will begin to improve the key customer metrics of retention and enrichment, net new client growth and consulting backlog. Based on our performance in the first half of 2017 we remain confident in our full year guidance which remains unchanged. Now let me take you through these specifics of our guidance for the [Indiscernible] 2017. As a reminder our guidance excludes the following; amortization of intangible assets which we expect to be approximately $200,000 the third quarter and approximately $800,000 for the full year of 2017. Stock-based compensation of expense of $2.1 to $2.3 million for the third quarter and $8.6 million to $9 million for the full year of 2017, and any investment gains and losses. Forrester is providing third quarter 2017 financial guidance as follows; total revenues of approximately $77.5 million to $80.5 million, pro forma operating margin of approximately 8% to 10%, pro forma effective tax rate of 40%, pro forma diluted earnings per share of approximately $0.21 the $0.25. Our full year 2010 -- 2017 guidance remains unchanged and as follows; total revenues of approximately $324 million to $332 million, pro forma operating margin of approximately 10.5% to 11.5%, pro forma effective tax rate of 40%, pro forma diluted earnings per share of approximately $1.13 to a $1.20. Provided guidance on GAAP basis for the third quarter and full year 2017 and our press release and 8-K filed today. Thanks very much and I'm going to turn the call over to the operator for the Q&A portion of the call.
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] And our first question comes from Tim McHugh. Please go ahead.
Tim McHugh: Thanks. First I guess just on this change in sale leadership. Basically I mean, you said that the strategy isn’t going to be really any different. It sounded like you’re pleased with some of the progress you are starting to make on that. So, if this strategy is not different, I certainly understand maybe it's a different individual leading it, but I guess what do you really pushing on differently or emphasizing that it is behind the change?
George Colony: Its really about two things, Tim, one was just consistency. Talking about 2006, 2006 started well, but then the rest of the year was a choppy year. That’s really number one. Number two, I think that -- I'm looking to Kelley for really decisiveness, speed to move the decisions very, very quickly which is really what’s needed on the back half of the customer engagement model. So, it's really about consistency and speed. Those would be the two reasons.
Tim McHugh: Okay. Thanks. And then you mentioned I think the consulting backlog weakening. Is there anything behind that, I guess what would be something you see in the marketplace or staff or I guess as a just normal volatility?
Michael Doyle: Tim, it’s Mike. I think that some of this is little bit of normal volatility. Some of this as rollout the new model, its trying to put in place is because of the solution partners. And so, we’re rolling at. That one that’s lagging a little bit and I think that’s the piece that we’re putting in place, and I think we’re just I think being so much conservative. We look at the backlog and we were kind of in this deposition year ago sort of a similar place. So we’re trying hedge about a little bit and be somewhat conservative. I mean, the delivery side of consulting has gone exceptionally well, and so they’ve –we’ve run ahead of that and depleted some of the backlog properly little bit quicker that we had thought. And so, I think that the back half for the year is going to focus both in the part of the sales organization to build backlog and for the consulting organization execute against it, which they’ve done a great job by the way in the first half of the year. So, probably we’re hedging about a little bit, but again with consulting some things could be difficult to tell. So I think we’re looking at a good back half, but its going to take some more to build up that backlog.
Tim McHugh: Okay, great. Thank you.
Operator: And the next question from Vincent Colicchio from Barrington Research. Please go ahead.
Vincent Colicchio: Yes. It looks like you had a nice turnaround in the event business? Should we expect that to be a consistent grower now going forward and how large is that now as a percentage of revenue?
George Colony: First to your question, I think Tim, we’ve got – one yes, we do expected to be a consistent grower. I think we’ve done -- I think the leadership change and discipline that’s going into the event business is going to allow to continue to move forward in a very consistent methodical way. And we’re seeing the result of that. So yes, it’s going to continue to grow. I think that our events business now is probably I would say around four percent of our revenues and what I would expect for the full year. In good years way back when we sort of never broke five because we sort of cap the number of events we have. Maybe that changes, but everything about the events business right now has gone exceptionally well for us. It’s a good team with a good leader and they’re delivery in a very consistent way.
Michael Doyle: I think John Sellazzo was leading it, Vincent. He is a very ambitious guy. And I think what he has done more than has doesn’t anyone has run last five or six years. He’s finding the hotspots quickly and go in the hotspots there – go in the hotspots immediately. Digital transformation is a new franchise you build this year and it was just been fantastic. And now taking us to our privacy, security privacy was a very, very hot topic in the age of the customers I talked about. So, I think really two things. One is, he has the best nose for the events market that I’ve seen that as leader in that business, one. And two, he’s done a great job on the sale size. He’s been part of a very, very group of people who are selling the events, not just sponsors, but also the seats. So, I agreed, we’ll have to keep them – keep this in the five percentage range just give me difficulties, which we like, we like that ambitious and obviously we’d like to grow.
Vincent Colicchio: So, I was wondering if you could provide some feedback on the Premier rollout in the U.S. in terms of what you’re hearing from clients, it sounds like you are happy with what you’re seeing so far.
Kelley Hippler: Hi. This is Kelley. In terms of client feedback on the customer engagement model, its actually been overwhelmingly with the installation of customer success manager who is dedicated to the account, to help, make sure that clients are getting value, day in and day out from their relationship. We’re seeing really positive feedback. The CSMs are able, because they know their clients initiatives, they can anticipate what they need, connect with the appropriate Forrester resources and we’re already seeing significant upticks. And our engagement scores which we know are early indicators of where we know our tensions going to fall.
Vincent Colicchio: And so, if you can give us some color, you’d mentioned that Europe had a good quarter. What particular work right there and do you expect that the fall through in the second half?
Kelley Hippler: Sure. So, with regard to Europe, the vendor team had very strong performance in this past quarter. We are looking forward to putting the end user team starting with our Premier team based in the London office into the model to help drive the user side up as well in September. So, we saw very strong performance there on the vender side and we’re looking to drive up the end user business as we move them into the customer engagement model next.
Vincent Colicchio: And then, Mike, one last one, one for you, capital spending, what was that in the quarter?
Michael Doyle : Our caps spending events, I want to say it was drawing $3 million during the quarter, so we’re up little bit more than historical norms just because lot of product investment who make or capitalizing those, so that you’ve seen a bump of it. If you back probably four five-year we typically would spent $3 million to $4 million in a full year. So, just up a little bit and I think its going to continue balance of year on probably into next year, plus we’ve got – we sold the improvements building out our nationally office, so you begin to se some spend there. So next couple of years be a little bit not off the charge, but I think just at high rate than you’ve seen historically for us, so meaning we’re soft with spending Vince.
Vincent Colicchio: Okay. Thank you.
Michael Doyle : Yes. Thanks,Vince.
Operator: And the next question comes from the Allen Klee from Sidoti. Please go ahead.
Allen Klee: Good afternoon. In terms of your sales force, it looks like you added 13 [ph] peoples sequentially compared to Q1. I think you’ve said last quarter you were going to – goal was that around [Indiscernible]. So I just wanted to try to get and understand. If you think that you’re hiring at the rate that you’re comfortable with and you’re still comfortable with the seven or 10?
Kelley Hippler: Sure. So, in terms of the overall hiring we have brought on a fair number of new hires and we want to make sure that we successfully get those folks on and to productivity, so we did slowdown a little bit in this quarter, because we want to focus on making sure that the headcount we brought on board is productive, ramps well, and is successful and we’re also looking for other ways to drive productivity including some of process and technology improvements that we mentioned earlier as well.
George Colony: I think relative to the full year target we’re going – because Kelley is been in the role all of a couple of weeks, we’re going to let her absorb and give us probably a new number which we’ll give you on the third quarter call. The short answer is sales account is going to grow. At what rate? I don’t know where will finish out the year. I think Kelley set some really good about getting more productivity out of the reps that we have and getting to our targeted bookings number that way.
Michael Doyle: Which is what the CEM should in fact yield.
George Colony: Right. So I think that we’ll update the headcount target for sales in the next call if we fell comfortable sooner than we’ll certainly put something out, but certainly by the next call I think Kelley will have a handle probably this year and how she is thinking about the next year as well.
Allen Klee: Okay, great. And then are some – can you tell me how much stock was bought back during the quarter, and what the share count was at the end of the quarter?
Michael Doyle: Well we’ve got 18 million shares I think on a fully dilutive basis. We spent $15 million to buy back shares and that’s probably guessing, I’m thinking out loud here, yes, around 4,000 shares.
Allen Klee: Okay, great. And then in terms of your guidance for next quarter you’re guiding to an operating – a GAAP operating of 5% to 7%, this is a pretty big drop compared to this quarter and last year. And I’m just wondering kind of what’s behind. And then maybe just a bigger picture question of how you think about kind of margin, what the potential is longer term? Thank you.
George Colony: Okay. I think that couple of things are happening. We said it was going to be a year of investment, so the investment is going to continue to into next quarter. And we do normally see a few events in the third quarter and third quarter has always been somewhat an unpredictable quarter in terms of other activity as it relates to consulting and advisory deliveries. So, I think we’ve been somewhat tampered in terms of how we think about our revenue performance for the quarter. Meanwhile, we’re making assumption about a continuation of investment both in product and in the customer engagement model. As we go forward obviously we haven’t change our guidance for year, so we’re sill very comfortable in with both for the revenue and margin assumptions there. As we think about next year, we haven’t given guidance yet. Other then to say our target will be to expand margin but we haven’t got specific, Allen, in terms of specific target. So that -- maybe we can give more color on the next call, we just haven’t – we haven’t blown out our planning process yet. We finished up lot of strategic planning work. We’ll look more to do there, and then the annual operating plan work starts in about a month.
Allen Klee: Okay, great. And my last question just anecdotally when you talk to your customers what’s the sense that you get about their willingness to spend more or the same or less?
George Colony: You’re talking about spending on tech in general or on Forrester?
Allen Klee: For Forrester, yes.
George Colony: Well, I think as you know we’ve been challenged in enrichment over the last two years. Look, the market is not our problem. Our board member from the Netherlands was here over last two days. I said how is the business in Europe? He said, business is terrific in Europe. But yes, you could see there’s some retail I talk about in my remarks that retail is vastly challenged by the age of the customer. So these are challenging time, these are difficult times. There are times to where there is a lot of opportunity for us. And I think this is really about the customer engagement model. The ability for that, what we call that solution partners to move into an account, understanding exactly where the challenges are and be able to sell a base product and then continue to add on that product to enrichment. So the dollars were out there, we just have to go get them at this point. I don’t know if you any other ideas there, Kelly, but….
Kelley Hippler: No. I would agree that. And I do think at overtime as we’re engaging with our clients on the issues that they care about most, so customer experience, digital transformation, we are fully expecting that the investment will follow up.
George Colony: And we just did a lot of research on our clients and this was research we did where one set of the companies knew who we were. If the set was totally blind and we ask one of the two largest challenges for your company and these are some CEOs, CIOs and CMOs. And challenge one was improving experience for customers, and number two is digital transformation. So we are -- as I said in my remarks, we are definitely going where the market is headed. That’s not our problem.
Michael Doyle: And I think to close out to George’s point, I think that, yes, customer engagement model and we’re also seeing which is encouraging is where we make enhancement and changes as to product, we’re getting the kind of attraction we wanted. We have more on the plate, more to come and so I think engagement model coupled with product changes are going to start really unlocking the enrichment opportunities with our clients.
Allen Klee: Okay. Maybe I can sneak one other thing in. Any thoughts on just if were to do an acquisition what generically would you like?
Michael Doyle: I would say that historically what we’ve said is that obviously its M&A is sort on our list before internal investment, but what we said is geography, right product has always been a piece and I think things that can expand what we have, but the other piece maybe is can we accelerate some of our businesses and get more digital products by buying into space we already play in, but maybe getting digital traction as well. So, I think there’s things out there. We are, as George said on the last call looking to do at least one a year. Because we are far enough along with some of the structural changes of the selling model, we’re in place where I think we can absorb and acquisition at this point and do good things with it. So, another area we look to on is to buy more clients in the roles that we serve. So CIOs and CMOs as a example, and we just took a very long look at a company which had I think over 700 CIOs – excuse me, CMOs as clients, but we did not do that deal because we found due-diligence for the CMOs were not high level enough for us. They tended to come from companies from 500 million to 1 billion, that’s not we’re playing above 1 billion. So, to acquire additional clients in the roles we service also a very big – is an imperative for us.
Allen Klee: Okay, thank you so much.
George Colony: Thanks.
Operator: And we have no further questions at this time. I’ll turn the call back over to Mike Doyle for final remarks.
Michael Doyle: Okay, thanks everyone for joining the call. We look forward to getting out on the road and meeting with each of you during the course of the quarter and obviously if any follow up questions please feel free to reach out to me directly. Thanks very much.
Operator: Thank you ladies and gentlemen. This concludes today’s conference. Thank you for participating and you may now disconnect.